Operator: Thank you for standing by. My name is Kathleen, and I will be your conference operator today. At this time, I would like to welcome everyone to the Vasta Platform Third Quarter 2025 Financial Results. [Operator Instructions] Before we begin, I would like to read a forward-looking statement. During today's presentation, our executives will make forward-looking statements. Forward-looking statements generally relate to future events or future financial or operating performance and involve known and unknown risks, uncertainties and other factors that may cause our actual results to differ materially from those contemplated by these forward-looking statements. Forward-looking statements in this presentation include, but are not limited to statements related to our business and financial performance, expectations for future periods, our expectations regarding our strategic product initiatives and the related benefit and our expectations regarding the market. Forward-looking statements are based on our management's beliefs and assumptions and on information currently available to our management. These risks include those set forth in the press release that we are issuing today as well as those more fully described in our filings with the Securities and Exchange Commission. The forward-looking statements in this presentation are based on the information available to us as of today. You should not rely on them as predictions of the future events, and we disclaim any obligation to update any forward-looking statements, except as required by law. In addition, the management may reference non-IFRS financial measures on this call. The non-IFRS financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with IFRS. And now I would like to turn the call over to Cesar Silva, the CFO; and Guilherme Melega, the CEO. Please go ahead.
Cesar Silva: Good evening, everyone, and thank you for joining us in this conference call to discuss Vasta Platform's third quarter of 2025 results. I'm Cesar Silva, Vasta's CFO. And today, we have the presence of Guilherme Melega, Vasta's CEO, who will be joining me on the call. Let me now hand over the floor to Guilherme Melega, our CEO, to make his opening statement.
Guilherme Melega: Thank you, Cesar. Thank you all for participating in our earnings release call. Let's move to Slide #3, which summarizes the key highlights of the 2025 sales cycle. We are closing the final quarter of this commercial cycle, and we are pleased with the results achieved. Once again, we delivered consistent growth in revenue and profitability while maintaining strong operational discipline, cash flow performance and advancing our strategic priorities. Starting with subscription revenue, we grew 14.3% comparing to the previous cycle, supported by ACV bookings of BRL 1.552 billion and net revenue up 13.6%. This performance reflects the resilience of our core business and the successful execution of our commercial strategy, and we have demonstrated the ability to sustain double-digit growth in our core business for the fourth consecutive year. Our complementary solutions continued to expand at an accelerated pace, growing 25.3% year-over-year, reinforcing the strength of our ecosystem and the value we bring to schools with our complete portfolio -- product portfolio. In the B2G segment, during this quarter alone, we recorded revenues of BRL 17 million from several new customers and from the State of Pará contract, totaling BRL 67 million in the 2025 sales cycle. This demonstrates stability in this revenue stream comparing to 2024. As a result, net revenue in 2025 sales cycle reached BRL 1.737 billion, a 14% increase compared to the same period in 2024. This growth was driven by the successful conversion of ACV bookings into revenue, along with a strong performance of our complementary solutions, as mentioned before. In profitability, adjusted EBITDA reached BRL 494 million, a 10% increase compared to 2024. The margin was 28.4%, slightly below last year's 29.4%, mainly due to a different product mix and increased investments in marketing and growth initiatives. Despite these factors, we maintained healthy profitability levels, demonstrating our ability to balance expansion with operational efficiency. A major highlight of this cycle was free cash flow, which totaled BRL 316 million, 117% higher than last cycle. Our last 12 months free cash flow to EBITDA conversion rate improved significantly to 64%, up 31.5 percentage points from 2024. This improvement was driven by efficiency measures and disciplined cash management, including early collections and automation in financial process. We also continue to make progress in deleveraging with net debt to last 12 months EBITDA at 1.75x, down from 2.32x in the Q3 2024. Beyond these financial metrics, we continue to make progress in strategic areas. In the B2G segment, we advanced our diversification strategy, adding new municipalities to our portfolio. This reinforced our commitment to expand access to quality education through partnerships with public institutions. In Bilingual Education, our Start Angle franchise remains a key growth avenue. We now operate 6 units, which includes 4 schools implemented this year and have signed over 50 contracts besides a robust pipeline with more than 300 prospects. This positions us well to capture demand from premium bilingual education in the coming cycles. It is worth mentioning, we expect to launch 8 new operational units for the coming year. Finally, as we look ahead to 2026, innovation remains the center of our strategy. Throughout AI, we will introduce new tools focused on equity and personalized learning, including the individualized educational plan, EEP, which will empower educators with tailored pedagogical recommendation and foster inclusive practice. In summary, these results confirm the resilience of our business model and the successful execution of our strategy. We are confident in our ability to sustain growth, enhance profitability and deliver value to all our shareholders. I will now turn back to Cesar Silva to walk us through the financial results.
Cesar Silva: Thank you, Melega. Let's move on to Slide #5. In this slide, we present the composition of Vasta's net revenue. On the left side, you can observe the organic growth for the third quarter in total net revenue, which increased by 13.4%, reaching BRL 250 million. Vasta subscription revenue achieved in the third quarter of 2025, BRL 212 million, a 3% increase compared to the same quarter of 2024. Non-subscription revenue increased 45% to BRL 21 million, supported by higher enrollment in the Start Angle flagship schools and Anglo pre-university course. Moving to the right side, you have the numbers of the net revenue for the 2025 sales cycle. We achieved an organic net revenue growth of 13.6% in the 2025 sales cycle, amounting to BRL 1.737 billion. The main factors for this performance were: firstly, the subscription revenue has increased 14.3%, reaching BRL 1.552 billion and continues to be the major contributor to our total revenue, representing 89.3% of the net of the revenue share as detailed on Slide #4 of this presentation. Non-subscription revenue increased 16% to BRL 119 million. This growth is mainly driven by 2 effects: the new revenue from our flagship Start Angle ESL in Sao Paulo that did not exist in 2024 and the growth in the number of students in the Anglo pre-university course, which enrolled 21% more students than last cycle. Moving to Slide #6. You can see that in this sales cycle, our adjusted EBITDA amounted to BRL 494 million with a margin of 28.4%, an increase of 9.9% from BRL 449 million and which we will break down in the next slide. So in this Slide #7, we can observe that the adjusted EBITDA margin achieved 28.4% in this 2025 sales cycle, 1 percentage point lower than the same period of 2024. Our gross margin reached 62.8%, a decrease of 1.4 percentage points from 64.2% in 2024 sales cycle, mainly due to a different product mix. It is worth mentioning complementary solutions has grown at a faster pace despite high payments to product owners of certain products. Provisions for doubtful accounts PDA achieved 3.1% in relation to the net revenue and have an improvement of 0.8 percentage points when compared to 2024. This indicator has been showing improvement during the year despite the very challenging and extensive credit environment for non-premium, and we still foresee challenges in the credit scenario for the next month. As a percentage of net revenue, our commercial expenses increased by 0.8 percentage points, driven by higher expense related to business expansion of the commercial cycle for 2026 and remain stable at near 19% of the revenue. And finally, adjusted G&A expense improved by 0.3 percentage points, mainly driven by workforce optimization and budgetary discipline measures. Moving to Slide #8, we show the adjusted net profit that you can see in the right side of the slide in the sales cycle that the adjusted net profit reached BRL 82 million, and there has been an increase of 32% from adjusted net profit of BRL 62 million in 2024 because of the topics already mentioned. Moving to Slide #9, we show the free cash flow evolution. In the sales cycle, our free cash flow reached BRL 316 million, an increase of 117% from 2024. The cash flow generation in this cycle has an outstanding performance and achieved the highest level of conversion in relation to the adjusted EBITDA in the last years, achieving 64%. This is 31.5 percentage points better than the same indicator as last year. This improvement is explained by certain measures that the company has been implementing, which are already yielding positive results. We have mentioned some of these measures in our collection process. We developed automatized process like remargins, reminders and past due notifications. We implemented customer segmentation and management to make faster renegotiation on overdue receivables. On the payment side, we implemented several initiatives to enhance discipline in payments, such as rigorous financial planning, centralized payment scheduling and negotiating longer payment terms with suppliers. Additionally, the first semester of 2025 benefited from early collections of the 2025 sales cycle, which are expected to normalize in the next quarter. Is it worth mentioning that for the fiscal year, we expected to achieve a conversion rate of about 50% of the EBITDA. This will represent a relevant increase from 41.8% compared to the 2024 fiscal year. Moving to Slide #12. Let's take a closer look at the net debt movement. The net debt position decreased by BRL 177 million in the 2025 sales cycle. This decrease was driven mainly by the free cash flow generated in 2025, which was partially offset by financial interest costs. Our net debt amounted to BRL 863 million at the end of the sales cycle, and we managed to reduce the leverage ratio of the net debt to last 12 months adjusted EBITDA, which achieved 1.75x, a decrease of 0.57x of this indicator comparing to the same quarter of 2024. We would like to reinforce our commitment to continuing to generate free cash flow and deleverage the company. Having said that, I finish our presentation and invite you all to the Q&A session.
Operator: [Operator Instructions] And your first question comes from the line of Camily Assunção of Morgan Stanley.
Camily Assunção: We only have one question. Could you provide please some color on the ACV buildup for 2026? And also, if you could comment on your outlook for growth and the balance between volume and pricing?
Guilherme Melega: Thank you, Cam, for your question. We just ended the quarter of the cycle of 2025, recording a 14.3% subscription revenue growth. That's definitely the trend that we expect to continue for 2026. So I would say it's mid double-digit growth in terms of revenues. In terms of outlook of our performance, we are growing in learning systems, gaining market share in premium learning systems and complementary products keeps the pace growing with more than 20% and that's -- the trend should be continued to 2026. In terms of pricing, we are -- for the last 5 cycles, we were able to price EPCA plus, and we definitely are targeting the same level. I would say EPCA plus between 1% and 2% for the next cycle should be a good guess for what we are seeing right now.
Operator: [Operator Instructions] And there are no further questions. I will now turn the conference back over to Guilherme Melega for closing remarks.
Guilherme Melega: Thank you all for participating in our Q3 conference. The sales cycle of 2025 continues to reflect Vasta's solid execution and strategic focus. Our consistent revenue growth, strong cash flow generation and expansion of core business reinforce our commitment to deliver long-term value. We are particularly proud of the progress made in our Start Angle Bilingual School and the evolution in our Plurall platform and our disciplined approach to operational efficiency and financial management. Thank you all for continued trust and support. We look forward to see you in the earnings release call of the end of 2025 fiscal year. Thank you all.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.